Operator: Good morning ladies and gentlemen, and thank you for standing by. Welcome to the Bloomin' Brands Fourth Quarter and Full Year 2013 Results Conference Call. During today's presentation all parties will be in a listen-only mode. Following the presentation the conference will be opened for questions. [Operator Instructions] I'd now like to turn the conference over to Mr. Chris Meyer, Vice President of Investor Relations. Please go ahead.
Chris Meyer: Thanks, Angel. Good morning, everyone, and thank you for joining us. With me on today's call are Liz Smith, our Chairman and CEO; and Dave Deno, Executive Vice President and Chief Financial and Administrative Officer. By now, you should have access to our fourth quarter 2013 earnings release. It can also be found on our website at www.bloominbrands.com in the Investors section. Throughout this conference call, we will be presenting non-GAAP financial measures, including adjusted restaurant level operating margin, adjusted income from operations, adjusted net income, adjusted diluted earnings per share, adjusted diluted earnings per pro forma share and adjusted EBITDA. This information is not calculated in accordance with U.S. GAAP and may be calculated differently than other companies' non-GAAP information. Quantitative reconciliations of our non-GAAP financial measures to their most directly comparable GAAP measures appear in our earnings release and on our website as previously described. Before we begin our formal remarks, I'd like to remind everyone that part of our discussion today will include forward-looking statements, including our discussion of growth strategies and financial guidance. Such forward-looking statements are not guarantees of future performance, and therefore, you should not put undue reliance on them. These statements are subject to numerous risks and uncertainties that could cause actual results to differ materially from our forward-looking statements. Some of these risks are mentioned in our earnings release. Others are discussed in our Form 10-K filed with the SEC on March 4, 2013, and subsequent filings which are available at www.sec.gov. During today's call, we'll provide a recap of our financial performance for the fourth quarter and full year 2013, an overview of company highlights, a discussion regarding progress on key strategic objectives and finally, guidance for full year 2014. Once we've completed these remarks, we'll open up the call for questions. With that, I'd now like to turn the call over to Liz Smith.
Liz Smith: Thanks Chris and welcome to everyone listening today. We are pleased to share with you our results for the fourth quarter and full year 2013 as well as related company highlights and our thoughts on 2014. As noted in this mornings early earnings release, our adjusted fourth quarter diluted earnings per pro forma share was $0.27, up 35% over the prior year. Our reported fourth quarter core domestic comp sales increased 1.4% which included a traffic increase of 0.3%. This marks the 16th consecutive quarter of positive traffic for our core domestic concepts. Consistent with the past three years, our brands once again meaningfully outperformed the segment in the fourth quarter. The core business significantly outpaced the KNAPP Casual Dining index for sales and traffic by approximately 320 and 400 basis points, respectively. We have now outpaced the segmenting sales for 17 consecutive quarters. Also in Q4, all four core domestic brands posted positive comps and continued to take share in a volatile industry environment. This resulted from elevating every element of the 360 degree customer experience, a review by concept as follows. At Outback, comp store sales were up 1.1%, representing 290 basis points deep versus KNAPP and traffic was positive at 0.5% or 420 basis points better than KNAPP. We had two primary LTOs in the quarter, including back by popular demand, the successful combination of Steak and Lobster and Butcher Cut, which was a new platform that showcased our steak authority and performed well. It is another example of the continuous innovation that has allowed this concept to maintain its relevance with the customer. Q4 was Outback's 16th consecutive quarter of positive traffic and they widen their gap to KNAPP from the third quarter. At Carrabba's, comps sales were up 0.9% for the quarter. This was 270 basis points better than KNAPP. This is a solid end to 2013 for Carrabba's behind revitalizing marketing. The ongoing brand refresh will culminate in the new menu launch next week. On another note, I know everyone saw the news regarding the recent departure of Steve Shlemon. Steve was the President of Carrabba's for 13 years and we are going to miss him. But as I have said many times, we have a deep talented team that is capable of executing the brand revitalization efforts underway at Carrabba's and as we search for a successor, they will report directly to me. Bonefish Grill comp sales and traffic were up 0.9% for the quarter. This was 360 basis points sequential improvement in comp sales from the third quarter and 270 basis points better than KNAPP. Bonefish Grill has began to close the innovation gap in food and marketing platforms that impacted its performance in Q3. The Tuesday Tales of Lobster menu has been a great success and the brand enters 2014 with this platform to build upon. We remain on track to roll out the new core menu in the second half of 2014. Finally, Fleming's finished the quarter with comp sales growth of 4.9% significantly outpacing the KNAPP track high-end state chain restaurant index which came in at 3.1%. Ongoing innovation continued to help this brand distinguish itself in the high-end category. This represents Fleming's 16th consecutive quarter of positive comps. In addition, we continued to rollout weekday lunch. As of the end of this quarter, approximately 35% of Outback's locations and 40% of Carrabba's locations were offering weekday lunch. This is up some 26% for Outback and 28% for Carrabba's in Q3, a significant number of these new lunch restaurants opened in December. Turning to development, we opened 15 system wide locations in the fourth quarter consisting of six Bonefish Grill restaurants including our first location in California, two Carrabba's Italian grill restaurants, six company-owned international Outback Steakhouse restaurants, four in Brazil with one each in South Korea and China and one new international franchise restaurant. These openings for our 2013 totaled to 46 locations. We had 36 remodels in the fourth quarter for a total of 143 remodels for the year both were consistent with our expectations. Outback's had 29 remodels in Q4 and as now completed its interior remodel program having touched 490 restaurants over the past four years. At Carrabba's, we remodeled four locations in the fourth quarter giving us a total of 41 for the year. We are pleased with the sales and traffic that we are seeing as a result of these efforts. In addition, we remain very excited about new unit expansion in our portfolio. We recently announced that Suk Singh has joined Bloomin' Brands to lead this effort as Senior Vice President of Development. Suk is a highly respected leader in the restaurant development space. And I'm confident, he will have a significant impact on our global development efforts. Overall, we were very pleased with our 2013 performance given the overall CDR environment. We exited Q4 with our strongest quarterly outperformance versus KNAPP in 2013. We expect the casual dining segment will remain challenged with negative traffic until there was a meaningful increase in our target consumers' disposal income. Despite this backdrop, our portfolio of differentiated brands and unique occasion expansion potential provides us with an ongoing opportunity to gain share. In 2014, we will be entering the fifth year of our sustainable growth plan. Our confidence in the vitality of our portfolio and its long-term growth prospects is strong. Before I turn it over to Dave to provide more color on Q4, I would like to share with you my thoughts on 2014. When we reemerged as a public company in 2012, we shared with you our platforms for sustainable growth. This plans focused on three key areas for success. First, to grow comp sales by leveraging innovation, occasion expansion, remodels and relocations; second, to capture our domestic new unit expansion opportunity with Bonefish Grill being the lead development vehicle; and third, to accelerate growth in our category leading international business. We are pleased with our progress on all three fronts; our growth strategy is coupled with a continuous productivity mindset to fund investment while we build scale, infrastructure and systems. Now, I would like to update you on our 2014 plans against these three platforms. First, to drive comp store sales performance, we will focus on ongoing innovation. A new menu rolled out of Carrabba's in Q1, Bonefish new menu is coming in the second half of 2014. We expect these menu's to drive dinner traffic for both brands. Strong LTO news and marketing that communicates our value proportion will run across the portfolio. In addition, we are expanding our investment in our digital and mobile marketing platforms including website upgrades, online ordering and payments. We have additional tests in market to determine where technology can further enhance the customer experience. Occasion expansion, we will further expand retail lunch at Outback and Carrabba's, in addition the rollout of Saturday lunch at Bonefish is underway for 2014. Remodel, 2014 will mark the second year of Carrabba's remodel program, in addition, we will expand Outback's promising exterior remodel text and upgrade new and existing Bonefish site. Finally, we will continue to pursue our factory locations where we are seeing 40% sales increases at restaurants that we have relocated. We will execute this strategy as quickly as eight sites become available. Our 2014, sales growth strategy has many levers and extents from lunch through the evening dining experience and this has always centered around the customer. Our second platform is domestic new unit growth. Bonefish Grill remains our primary domestic growth vehicle and we continue to grow this brand as fast as we are able to find quality real estates. Carrabba's is our second priority and we will also invest opportunistically in new Outback's location. Fleming's will continue to expand as well and we believe we can scale this brand to 100 locations over time. Our third platform is the acceleration of our international business. In our last call, we discussed some very important development as we completed the acquisition of 90% ownership in our Brazil restaurant. Brazil is one of the most vibrant emerging consumer markets in the world, Outback is uniquely positioned to take advantage of this growth having spent the past 16 years building the infrastructure, management team and most importantly a brand identity that resonates with the Brazilian consumer. Average unit volumes in Brazil are nearly doubled those of the domestic Outback. In terms of profitability, we recently filed an 8-K that details historical pro forma financials that offered an indication of the health of this business. Like sales, average unit profitability is well above those of the domestic Outback. Clearly, our team in Brazil executes at a very high level and expansion in this country in 2014 and beyond is the key priority. We expect to double the size in the next three to five years. And we are building the infrastructure to add a second concept at the appropriate time. In addition to Brazil, we are also focused on international growth opportunities in China and Mexico as well as revitalizing our business in Korea. You can expect investments in all of these markets in 2014 but our primary focus will be on the expansion of our Brazil business. In total, we expect to open 55 to 60 new system wide restaurants globally in 2014. Productivity efforts have been a core part of our strategy for several years and we'll continue to fund our investments in 2014. We've already made measurable strides in margin improvement, adjusted operating income margins have improved from 5.1% in 2011 to 6.4% in 2013, we're very pleased with this progress and we will continue to pursue our productivity opportunities as we seek to close the gap on margins relative to our peer group. In summary, we are confident in our plan and optimistic that we will continue to meaningfully outperform the industry in 2014. More importantly we're making the necessary investments this year to support our significant long-term growth potential. With that, I'll turn the call over to Dave Deno to provide more detail on our fourth quarter operating results and what you can expect for 2014. Dave?
Dave Deno: Well, thanks Liz, and good morning, everyone. If you have reviewed our earnings release that we filed this morning you have noted that there are several important details embedded in our Q4 results in our 2014 guidance. I will spend a good deal of time on today's call working through those items one by one to provide transparency into our results. With that in mind I'll kick off discussion around sales and profit performance for the quarter. As a reminder, when I speak to net income and EPS I'll be referring to adjusted numbers and excludes certain costs and benefits. Please see our earnings release reconciliations between our adjusted non-GAAP metrics and their most directly comparable U.S. GAAP measures. We also provide a discussion of the nature of each adjustment. Our fourth quarter financial highlights versus the prior year are as follows. Adjusted diluted earnings per pro forma share were $0.27 versus $0.20 in 2012, an increase of nearly 35%. GAAP diluted earnings per share for the quarter increased to $0.46 versus $0.15 last year [Technical Difficulty] versus $25.8 million for the fourth quarter a year ago, GAAP net income [Technical Difficulty] versus $18.4 million in 2012. Comparable domestic restaurant sales at our core domestic concepts increased 1.4% all traffic increased 0.3%. Our Q4 comp sales results included a favorable trading date impact of 0.4%. We maintained a positive gap to the KNAPP-TRACK, with an estimated 320 basis point beat per comp sales and a 400 basis point beat on traffic. We have out passed the segment sales for 17 consecutive quarters. Total revenues increased 5.2% with $1.1 billion adjusted restaurant level operating margins were 15.9% this year versus 15.4% a year ago. On a GAAP basis restaurant level operating margins for Q4 were 14.8% this year versus 15.4% a year ago. Let's break that down by line item. First, cost of sales increased to 32.7% from 32.4% in 2012. The increase was primarily driven by increases in beef and shrimp costs and a change in product sales mix. The increase was partially offset by productivity initiatives and menu price increases. On an adjusted basis labor and other related expenses decreased to 27.6% from 28.6% in 2012. The changes in labor costs included favorability in health insurance due to lower claims activity, productivity savings from the new labor model and reduced expense associated with our managing partner deferred compensation programs. We also got the margin benefit of higher sales. This was partially offset by higher kitchen and service labor associated with the weekday lunch roll outs. On a GAAP basis labor and other related expenses increased to 28.8% from 28.6% in 2012. This increase was primarily driven by an additional $12 million of expense related to the IRS payroll tax audit. I will explain this expense in more detail in just a minute. Finally, restaurant operating expenses increased to 23.7% from 23.5% in 2012. The change was mainly driven by higher advertising expense as well increases in operating supplies and utilities. This was partially offset by lower general liability insurance claim activity AUB leveraging and productivity improvements. Now let's turn to G&A. After taking into account the related non-GAAP adjustments outlined in the earnings release, G&A was $67.3 million in Q4 versus $69.1 million a year ago. The nearly 3% decline was primarily driven by lower corporate and field-related incentive compensation. General GAAP and administrative costs were $69.5 million versus $66.6 million last year. This increase was primarily due to a lapping of a $3.5 million gain recorded in Q4, 2002 associated with the 2009 sales of our Cheeseburger in Paradise concept. Unfavorability also came from costs incurred in 2013 as a result of our acquisition of the Brazil business. We adjusted for both of these items in our non-GAAP metrics. Fourth quarter adjusted operating income margin increased to 6.1% from 5.1% in 2012. For the full year our adjusted operating income increased to 6.4% from 5.9% in 2012 inline with our guidance. As Liz indicated earlier this is a 130 basis point improvement from where we ended 2011 and is a 50 basis point improvement versus 2012. We continue to make meaningful progress to our long term operating margin improvement goals. In the quarter, we had three primary [Technical Difficulty] items that were removed from our adjusted net income and adjusted EPS. The first is a one-time non-cash gain of $37 million from our Brazil acquisition. This adjustment is recorded on our statement of the income as gain on re-measurement of equity invested investment. This P&L line falls below operating income. The second item was our decision to close 22 under performing restaurants. As we reevaluate our portfolio for relocation opportunities we identified under performing locations that are not good candidates for relocation. Their closure optimizes our portfolio and allows us to focus our efforts on up to a 100 relocation opportunities previously identified for OpEx. The closings also set us up for further new Outback development. Decision resulted in $18.7 million non-cash asset impairment charge booked on provision for impaired assets and restaurant closings on the statement of income. The write-down does include five restaurants and sale lease back for mortgage packages. This increase is the average write-off for restaurant. The impairment charge lowered GAAP operating income margin by approximately 180 basis points in Q4 and is the primary reason why on a GAAP basis Q4 operating margin decreased from 5.4% in Q4, 2012 to 3% in the fourth quarter of this year. Again, the $37 million gain from Brazil fall below operating income in our P&L it was not included in our operating margin. The third adjustment is a $12 million expense related for ongoing IRS payroll tax audit. If you recall in the third quarter we recorded a $5 million contingency income of payroll tax audit. This audit was determined our share of FICA taxes on unreported cash chips received by employees in 2010. The IRS briefly informed us that they were expanding this audit to include 2011 and 2012, it was necessary to book an additional payroll tax contingency. We are working with the IRS to resolve this matter and are confident that the processes that we put in place at the end of 2012 address this matter. The $12 million expense has a corresponding adjustment in the income tax provision that completely offset the additional labor and other related expense in 2013. As a result of the associated income tax benefit, recording of the liability has no impact in net income. However, given the prior period nature of this expense and impact to operating margin we are adjusting it out of our results. For the fourth quarter, our adjusted effective tax rate was 22% compared to 10.8% for Q4 of last year. The normalized rate of 22% used in the 2013 does not include the tax benefit for the release of the valuation allowance in Q2 and the impact of other items that are not considered indicative of on going operations. And one last note on Q4 results. We have previously discussed our intent to improve our debt metrics and build a strong balance sheet. I'm pleased to announce that the fourth quarter, in the fourth quarter we paid down an additional $40 million on our outstanding term loan obligation. Now let's turn to 2014, our overall guidance is at least 15% adjusted net income in a comparable basis is lower than our 20% long-term target. There are two reasons for this, the first is the reflection of the difficulties based in the casual dinning industry and we expect another challenging year for this segment. Having said that, we firmly believe that we will continue to significantly outperform the casual dinning segment in sales by 200 to 300 basis points in 2014. The second reason is our decision to increase funding in key growth areas. This includes more funding for our business in China and other important initiatives such as digital marketing. Before I being with the guidance it's important to discuss two very important changes to our financial reporting in 2014. First, we released an 8-K on January 21st that details the consolidation of Brazil and impacts on Bloomin' Brands financial statements. After reviewing that document you will see significant profit generated by Brazilian restaurants, however, because of the non-cash amortization of new tangibles we will not get the benefit of this profit in our Bloomin' Brands GAAP net income. As a result, we have decided to exclude this amortization impact from our 2014 adjusted net income to give investors a better sense of earnings power of Brazil. On the November call, we discussed other potential opportunity to address this amortization but after further consideration we have determined that this non-GAAP presentation provides a better presentation of the ongoing profitability of our business. The annual impact of this adjustment is approximately $6.5 million pretax will be added back to our adjusted net income in 2014. This adjustment is expected to add approximately 3/10ths to our adjusted EPS guidance for 2014. The second large change is probably moving from a calendar based year to a 52, 53-week [Technical Difficulty] 2014. As noted in our 8-K filed on January 6, the conversion to this new calendar results from the loss of three high volume days at the end of 2014. A loss to these high volume days is expected to have the following impact in our 2014 results. Total revenues will be reduced by approximately $43 million. Net income will be reduced by approximately $8 million. And diluted earnings per share will be reduced by approximately $0.06. The guidance we are providing reflects the Brazil acquisition and the new accounting calendar. We have also included a table in our press release that will assist you as we walk through the items. In this table, we provide with a 2014 calendar year guidance would have been for these financial measures as well as our outlook for the 52 to 53-week fiscal year because we have historically reported our results in a calendar basis, we have chosen to provide calendar year guidance that excludes the impact of our conversion to the 52, 53 week fiscal year guidance discussed. The calendar year guidance provide you the most comparable way to understand the expected growth in our -- 2014 for our businesses. However, it is provided for grounding purposes only, it will not be reported in any future earnings releases importantly we will use the 52, 53 week year fiscal year for reporting 2014 and beyond. Let me start with revenue guidance. Total company revenue is expected to increase approximately 8% to $4.45 billion on a calendar basis will be driven by the consolidation of our Brazil entity comp sales and planned new restaurant development. It also counts to the impact of the restaurant closure. On a 53-week fiscal year basis, our total revenue will be up approximately $43 billion lower. On the international front, the Brazil business continues to perform very well and we expect a very strong 2014. However, we did see softness in Korea during Q4 that is continuing into 2014. This is a result of deteriorating macro economic conditions and the need for 360 degree brand refresh. This work is currently underway. Adjusted EBITDA for the year is expected to be at least $508 million on a calendar basis, this represents an impressive 15% growth from 2013. On a 52, 53-week fiscal basis our adjusted EBITDA will be at least $493 million. Adjusted net income for the year is expected to be at least $164 million on a calendar basis. This represents growth of 15% from 2013. This will include an estimated $4.3 million post-tax amortization add-back for Brazil. On the 52, 53-week fiscal basis, our adjusted net income will be $8 million lower or at least $156 million -- $156 million on a calendar basis, on the 52, 53-week fiscal basis, our GAAP net income will be $8 million lower or at least $148 million. Adjusted diluted EPS for the year is expected to be at least $1.27 on a calendar basis, this is an increase of 14% from 2013. The difference between adjusted net income growth and adjusted EPS is driven by an anticipated increase in our share count. This also includes an approximate $0.03 amortization add-back for Brazil. On the 52, 53-week fiscal basis our adjusted diluted EPS will be $0.06 lower or at least $1.21. The absolute EPS will be at least $1.21 on a calendar basis. On a 52, 53-week fiscal year basis, our GAAP diluted EPS will be $0.06 lower or at least $1.15. And finally, we will be adjusting for anticipated lease liability and store closure expense of approximately $3.1 million after-tax in our adjusted metrics. Most of this expense will be in Q1. This is the remaining expense from our decision to close 22 restaurants. I will now turn our attention to the items included in our guidance that will not be impacted by the conversion to the 52, 53-week fiscal calendar. We expect our blended restaurant sales counts for our four domestic brands grow by 1% to 2% with positive traffic. This increase is based on ongoing menu and promotional innovation continued month expansion and additional restaurant remodel. We are not relying on a meaningful improvement in segment trends to lift our 2014 results. Strength of commodities, we expect inflation will grow 2% to and 4%, this include beef inflation in the range of 3% to 5% and seafood inflation of 10% to 12%, which is largely driven by higher shrimp costs. We expect to see improvements in other protein cost which will help to offset these pressures. We are currently contracted for approximately 68% of our total buy for 2014 which is consistent with where we typically stand at this time of year. Our productivity goal in 2014 will once again be at least $50 million. You can expect 40% to 45% of our total savings from labor; 40% to 45% of savings in food cost and the remainder from other operating expenses in G&A. General and administrative expenses are expected to come in between $295 million and $305 million in 2014. This represents a large change from 2013 and I want to provide some details on this increase. First, the consolidation of our Brazil entity accounts for the largest portion of the change in addition 2013 was an abnormally favorable year in health insurance especially in catastrophic claims for employees at the corporate office. We do not believe it is prudent to assume a continuation of this level of favorability and return to previously absorbed levels of expenses reflected in our guidance. Another driver of increase in G&A is higher merit based compensation expenses in 2014. Since we did not meet our sales goals in 2013, we had favorability intensive compensation expense. We have to reset these expenses up in 2014 and this will result in higher overhead. Finally, beside three items noted above we remain committed to zero overhead growth in our support functions. We will, however, continue to invest in infrastructure and overhead to support our key growth initiatives. So there will be some increases in G&A spending as result of this investment. The examples include investments in technology and investments to support our growth plans outside the United States. We anticipate an adjusted effective income tax rate in the range of 27% to 29%. This increase over 2013 is primarily due to higher effective income tax rate in Brazil as well as reduced leverage on our domestic FICA tip credit. We estimate that 2014 four year capital expenditures will be between $250 million and $280 million. This includes the consolidation of Brazil capital expenditures. System-wide [Technical Difficulty] on 2014 is expected to be in the range of 55 to 60 restaurants with approximately 50% in the U.S. and 50% international. Bonefish Grill will continue to be our lead development vehicle in the U.S. and Brazil represents the majority of our international development. Now we would like to comment briefly on Q1. Our stated policy is to only provide annual guidance. However, there are three items expected to have material impacts in our Q1 financials that are appropriate to mention. First, we believe Q1 to be our – will be our most difficult sales quarter for the year. For January, the KNAPP track casual dining index was down 2.6 for sales comp and negative 4.4% for traffic. Bad weather has put a significant pressure on industry sales. Weather has impacted Bloomin' Brands comps by approximately 200 basis points through February. Having said that, we expect to continue to markedly outperform KNAPP with our core domestic Q1 comp sales ranging from approximately negative 1% to positive 1%. Second, our annual managing partner's conference is in the second quarter of 2014, last year the conference was held in the first quarter. The cost of the conference is approximately $3 million. Finally, as you may recall, in the first quarter of 2013, our tax rate was lower than normal at 14.1%. As of Q1 2013, we had not yet released the valuation allowance in our deferred tax asset. The released happened in the second quarter of 2013 and the favorability seen in Q1 of 2013 reversed in Q2. As you look at Q4, Q1 2014 please remember that this will have a significant impact on quarterly comparisons as we expect our Q1 tax rate in 2014 to be roughly inline with our full year guidance of 27% to 29% for our tax rate. In summary, we were very pleased with the way we finished 2013. Our brands held up very well in a difficult environment and we reached our profit goals for the year. We have a strong plan to continue – we have a strong plan to continue to grow our business and are looking forward to another successful year in 2014. And with that we'll open it up to the phone line for questions.
Operator: Thank you. [Operator Instructions] Your first question will come from the line of Mr. John Glass from Morgan Stanley. Please go ahead.
John Glass - Morgan Stanley: Hey, if I could just go through the pieces of the 2014 guidance for a moment, first, just your decision to back up the amortization in Brazil, you're effectively saying that is $0.03 to $0.04 accretive in 2014 is that the right way to think about that?
Dave Deno: Yes. As we looked at the earnings part of the business we look at EBITDA, we look at restaurant margins, we look the cash flow we [Technical Difficulty] of the business and so that's about $0.03 as part of our $1.21 fiscal calendar guidance.
John Glass - Morgan Stanley: Okay. And you think about the G&A, can you parse out a couple of pieces and some had to do easier G&A comparison. How much of the increase in G&A is just the investment spending?
Dave Deno: We probably -- John will get into that too much for competitive reasons but I think we talk about, Liz and I talked about the need to invest in our international business and really power up that business and invest in investment technology especially mobile marketing. Now these are sizable investments. We have zero overhead growth plan for our core businesses, I mean excuse me our core departments and we've got sizable investments to grow our business in China and in technology and mobile marketing.
John Glass - Morgan Stanley: Okay. And then just the last one for you, the 22 stores that you're closing were those cash flow positive or they negative, is there any material impact year on EBITDA number or the margin associated with the Outback brand?
Dave Deno: No, they were John they were modestly negative. I think for us its all about focus. We've got of growth levers at our disposal rather than spending time on these restaurants that averaged about $2 million in sales and spending capital on them we decided to make it difficult decision and close them. Now it does open it for relocation opportunities, does open it up for new development opportunities in Outback but we felt that given the two opportunities, excuse me the opportunities to address these restaurants John we decided to take the decision to close them.
John Glass - Morgan Stanley: Thank you very much.
Operator: Your next question comes from Joe Buckley, Bank of America Merrill Lynch.
Joe Buckley - Bank of America Merrill Lynch: Thank you. And good morning. Couple of questions, you talked about the EPS growth guidance for this year obviously being lower than the 20% long-term target, do you think the 20% long-term growth target is in tact beyond 2014 or some of these factors that you're seeing coming to play looking ahead?
Liz Smith: Yes. Hi, Joe. So we feel confident in the long term earnings potential and growth of this business as we always have. But as you know on an annual basis you plant some seeds and they come to improvement and we feel very confident, but sometimes the timing of the investments don't line up so there is linear delivery of lets say that 20% over year-over-year. And for us 2014, we're going to deliver strong year but most importantly we are going to make the investments ahead of growth to drive the long-term health and profitability of the portfolio. So we won't peg an annual number year-by-year, I definitely would just reaffirm that our confidence in the long-term growth and profitability of the business remains in tact and 2014 will be a strong year particularly relative to the industry but also a year where we balance that strong annual delivery was investing ahead of growth which is kind of a philosophy that we've always had. So I'm not going to peg it to 2014, 2015, 2016 I think we all know there is a lot of moving pieces but we certainly feel good about the long-term.
Joe Buckley - Bank of America Merrill Lynch: Okay. And then just a menu cher [ph] part of that question, I guess, Dave do you have a sense what the tax rate will look like going forward, well, a lot of moving parts there as well. But will be in this higher range do you think going forward?
Dave Deno: Well, part of that is the Brazil tax rate is in the high to low 40s, so that's consolidated in our results and as we become more profitable the FICA tip credit is fit until we lose some of that [Technical Difficulty] pieces from the change in the guidance on tax 27% to 29%.
Joe Buckley - Bank of America Merrill Lynch: Okay. Okay. Thank you.
Operator: We have Andy Barish, Jefferies.
Andy Barish - Jefferies: Hey, good morning. Can you guys give us sort of a quick lunch update as it stands to-date just in terms of what you're seeing with any cannibalization, how you're differentiating that experience and then may be the check average or mix issue start to taper as you move through 2014? I'm just trying to get a sense of, we've seen the biggest incremental impact on check average of lunch or does that continue at a relatively similar base?
Dave Deno: Yes. Couple of things Andy first of our check average in the consolidated basis are holding up quite well. So there is no need to any particular concerns about [Technical Difficulty] as we go forward our check average [Technical Difficulty] just really important we've talked about that before [Technical Difficulty].
Operator: Ladies and gentlemen, please stand by. Your call will resume momentarily. Again, ladies and gentlemen we are just fixing the audio on the call. Yes, we will go live into 21.
Dave Deno: Okay. So let me Andy – let me go back and answer your question, I hope I'm not fading out too much. But first of all the guest check at [Technical Difficulty] secondly, as we look at lunch comp sales, the lunch comp sales are growing in restaurants that had lunch opening at least a year [Technical Difficulty].
Operator: Ladies and gentlemen, please stand by, your audio will resume momentarily.
Dave Deno: Operator?
Operator: Please continue to standby. Your conference will begin shortly. Thank you for your patience.
Liz Smith: I think we're back live, apologies I think we're having some AV issues of cutting in and out. I'm going to ask Dave, Andy to readdress your question and we'll go from there because of the loss time we're certainly happy to do a little longer if we need. So Dave?
Dave Deno: Yes. Andy, in response to your question of couple of things, first of all the lunch restaurants that have been open at least a year are comping positively, the lunch business is comping positively. The dinner check in our restaurants are growing and so our guest check situation in our restaurants is in good shape. And lastly, we do factor in some very modest cannibalization because the lunch business is different than the dinner business. We do factor that into our modeling and everything seems to be going quite well in our lunch restaurants.
Andy Barish - Jefferies: Thank you.
Operator: We have Michael Kelter, Goldman Sachs.
Ivan Holman - Goldman Sachs: Good morning. This is Ivan sitting in for Michael. Can you please talk about the progress of remodels, what are some of the key learnings from the process and can you help us understand how the sales lifts have been curing following the initial action?
Dave Deno: Yes. I'll answer the sales lift and then I'll turn it over to Liz to talk about some of the progress that we've been making. We still are seeing between 3% and 5% sales lift that's sustaining and working quite well and so we continue to expand our Carrabba's remodel and we will be working on Outback exteriors next but our Outback interior remodel program is about done.
Liz Smith: Yes. The only thing I would add to that is, we talked about strengthening all elements in the 360 degree experience and never getting behind again on ambiance. And we've kind of lived that. So we finished the Outback remodel program, we're taking the same play book to Carrabba's this 40 last year, we're going to be rolling that you heard from Dave we're very happy with the lift we're seeing. But now in the spirit of never getting behind, we are now going to start touching the Bonefish Grill and we have a new design for Bonefish Grill every new restaurants that goes up in 2014 will have this new design and we will also be touching the original 150 those are in tests, we really like what we're seeing, we imagine employing the same strategy kind of that multi-year roll on Bonefish. In addition you'll see Fleming's upgrades and redesigns. So that philosophy of constant lease and temporizing is alive throughout the portfolio and you'll be seeing that over the next several years from us.
Ivan Holman - Goldman Sachs: Thank you.
Operator: Jason West, Deutsche Bank.
Jason West - Deutsche Bank: Yes. Thanks. Just one of the guidance, it looks like it implies and we're trying to work all the moving parts here but it seems to imply a pretty significant increase in restaurant margins like north of 100 basis points in 2014, just don't know, if we're doing that right or if that is correct could you help us out there?
Dave Deno: Yes. We talked about earlier and you just saw in our AK [ph] in Brazil, the consolidation of the restaurant margins in Brazil adds significantly to our restaurant margins overall, which is one indication I talked earlier about the power of that business. We see, will see large expansions in restaurant margins throughout 2014 because of the very profitable international, excuse me the very profitable Brazil business.
Jason West - Deutsche Bank: Is there anyway to isolate the Brazil impact within that?
Dave Deno: No its large but I think would be prudent to just say its large at this point.
Jason West - Deutsche Bank: Okay and then just big picture on the EBIT margin outlook I think in the past and you mentioned it again today you've sort of referenced peer, the peer target that you'd like to get to, can you update us on what that sort of peer target is that you guys are shooting for on EBIT margins and sort of how long you think it will take to catch up?
Dave Deno: Yes. When we went public we talked about our 300 basis point opportunity in our company versus our peers as we talk today we've made over 100 basis point improvement in operating margins and we'll make some more improvement in 2014. So we think its still a few years out, but we continue to make significant progress each year on operating margins.
Jason West - Deutsche Bank: Great. Thank you.
Operator: John Ivankoe, JPMorgan.
John Ivankoe - JPMorgan: Great. Actually on that margin conversation Dave, could you remind us where you are just thinking about 2014 may be in 2015 if you all talking about back of house labor scheduling potential KDS, more I guess sufficient preparation of your food what you do in restaurant versus out of restaurant, can you update us some of those initiatives and what benefit we could expect?
Dave Deno: Yes. We have really, sorry third year of doing this John. And as we look at the pipeline of opportunities in margins they continue to be very robust. So we will, in 2014, we will complete the benefit of the front of the house labor tool and if you look at our margins if you look at our margins in 2000 the Q4 2014 you saw the benefit of that that's very important, so we'll complete that. We'll start – we're in the process of starting the back of the house labor scheduling tool this year and that will be another big benefit for us. Then we move to what's very important for the company that a lot of restaurant companies have which is centralized inventory management and management of food cost through standard costing. That benefit is being built during 2014 the benefits will start to come in 2014 and will continue throughout 2015 and beyond and this is a big opportunity for us. Lastly, we'll continue to get supply chain opportunities, our supply chain organization continues to outperform the industry on managing food cost, those continue to get more opportunity on that. And then lastly is our high performance kitchen and KDS work that's basically adding computers automation to our prep tables in our restaurants and also laying out the kitchens more effectively. We're just starting on that. So that's really not included much in our 2014 guidance but 2015 and beyond we have a lot of opportunity. For just a recap year end front house labor back house labor then we move into centralized inventory management and food cost management through standard costing. And then finally kitchen design system and high performance kitchens all in our pipeline, this is not groundbreaking this exists in the restaurant business and we want to be able to take advantage of this.
John Ivankoe - JPMorgan: Thank you for the update.
Operator: Jeff Farmer, Wells Fargo.
Jeff Farmer - Wells Fargo: Great. Thanks. Carrabba's new menu was in test, it looks like for most of 2013, so I'm just curious if you guys can share any color at all on average check traffic impact, anything relative to the control group and how you think that might, the new menu might impact same-store sales for Carrabba's as we get into 2014?
Liz Smith: Sure, Jeff. So just to be clear, the new menu is rolled out everywhere and actually we will start advertising that next week we're very excited about. We were clearly very pleased with how the menu behaved in test and we're happy to roll it national. When the menu is combined with the design so taking the two elements together, we're seeing that 3% to 5% lift which is pretty much consistent with what we saw when we did that kind of groundbreaking breakthrough on Outback. So we're very pleased with that. So we're expecting obviously the new menu which has enhanced variety, it has enhanced lightness, it has enhanced supportability, we're expecting that to perform very well. In terms of average check we're very pleased with how as effective that as we already have a pretty affordable average check vis-à-vis the quality of Carrabba's, its about 21, 21.50, so we've seen some movement around that, but frankly it was exactly what we wanted to see. So very excited on how that's going in, look forward on TV starting the first week of March.
Jeff Farmer - Wells Fargo: Great. And just one other quick one on, I guess going back to Bonefish and what you can do there it sounded like you're pretty excited about what you're able to do on Tuesday nights. And again, you touched on it but as we get on to 2014 and 2015, how much more opportunity is there, it sounds like you guys are just sort of scratching the edge of the surface here and what you can do in terms of new food news there?
Liz Smith: Yes. I think that's a really fair characterization. I mean we were pretty honest with you guys about all the things going on we got a little behind in innovation, we've closed that innovation gap. So Tuesday Tales on Lobster very successful platform for us. We're building on that. We're very pleased with how the core menu which is in test of this performing and that will be rolled out closer to the midpoint of this year, so obviously that's progressing very well and that will be an entire core menu overhaul with the lot of the culinary forward twist that customers expect and are really excited about. The other think that I would say on both issues that we've also added and updated our advertising in addition to the new menu in addition to the marketing platforms. We do things. We've scratched the surface on several initiatives with Bonefish you know we've talked about what lies in front of us, online ordering lies in front of us and enhanced happy hour lies in front of us, private dining lies in front of us, we really have to chunk this out. We feel confident and enough and I how things are going to roll out Saturday lunch this year, Sunday lunch performed extremely well at Bonefish, it has a really strong and loyal following. We've been working on a Saturday menu for lunch that will be rolling out this year. So just a lot of levers of growth and excitement and refresh coming for Bonefish and we're really pleased about how we're setting up this brand for a continued long-term growth.
Jeff Farmer - Wells Fargo: Okay. Thank you.
Operator: Jeffrey Bernstein, Barclays.
Jeffrey Bernstein - Barclays: Great. Thank you very much. Two follow ups actually one on the pricing, I'm just wondering would you give any color in terms of your outlook for pricing by brand and whether or not your goal here is to protect or I should say expand the margin or whether you're focused on rebuilding the traffic and therefore not necessarily looking to fully offset the pressure, I guess the question is x Brazil, as you think about 2014 by brand and kind of whether the goal is to expand the margin or kind of focus more on the traffic and let the margin fall where it may?
Dave Deno: Yes. I mean broadly Jeff, we will not use pricing to expand margins. That's been our philosophy from day one. We are going to be building traffic, pricing will not be the highest commodity cost. And so we need productivity and traffic to help close the gap. That was a successful formula in 2012, a successful formula in 2013 and that will continue. We don't breakout pricing in any kind of details by brand but I can say that it will be pretty consistent across the brands at roughly 2% to 2.5%.
Jeffrey Bernstein - Barclays: Got you. And then, you mentioned a couple of times now the advertising, I'm just wondering that you can give some color in terms of what your spend was in 2013 by brand, it seems like it's a getting a lot of attention at Bonefish and for others. What do you think the ad expense uptick maybe in 2014 and I don't know which brand maybe as the greatest opportunity from that perspective?
Dave Deno: Yes. The big thing for us that Liz talked about earlier is, advertising around our technology efforts and mobility will be – really stressing that. Again, we for competitive reasons we don't stress advertising by brand. But I think our advertising expense is a reflection of the work we are still doing on TV and media but also the importance of mobility and technology in our advertising.
Liz Smith: I guess what I will add to that is, we are spending robustly against all three of our CDR brands behind a lot of news. So we are kind of very enthusiastic – we have real transformational food news and innovation across them. But as Dave said, Canada, a biggest from-to on a year-over-year basis is just some of the existing things we are doing in digital advertising and a heavy focus on social marketing ad channels and partnership with Facebook, Twitter and YouTube. Operating our website, enhancing our online ordering capability and payment, we got some pretty cool apps that have come out that are really doing well Outback 365. So just taking that constant innovation mentality even further into the digital world and our brand are responding in a great manner.
Jeffrey Bernstein - Barclays: And just lastly I know you gave a couple of comments on the first quarter in terms of unusual, is there any kind of color as we look through 2014 in terms of potential trend of EBITDA or EPS growth?
Dave Deno: No. Not really. I mean I think we try to update on Q1 on that. And some of that new news that we provide everybody given some of the weather impact we have had 200 basis points from the weather and through February. But on top after that Jeff nothing really unusual or different.
Jeffrey Bernstein - Barclays: Great. Thank you.
Operator: Your last question Michael Gallo, CL King.
Michael Gallo - CL King: Hi. Good morning. Most of my questions have been answered. Just a question and a follow-up. Perhaps I missed it but how many units you are going to add to retail lunch to this year?
Liz Smith: Yes. As we talked about – we are talking a staged multi-year roll, so we have never in the past spoken out or given a target for the number of weekday lunches that we are rolling out. We have always said it's going to be a multi-year approach. We will continue to do that and roll them out quarterly throughout the year. What we have said is that our analytics suggest that kind of 60% of the systems for Outback and Carrabba's would support a healthy weekday lunch. And we build to that number. So we are making progress over time and as we indicated we will give you guys quarterly updates on where we are but we don't tend to put – commit beyond that 60% number and kind of continued measured progress.
Michael Gallo - CL King: Great. And then on the New Year openings, how many of those you expect to be in Brazil?
Dave Deno: Well, we expect about half of our New Year openings between 55 to 60 guidance we gave to be in international. We won't break out specifically by country but a couple of things, Brazil will be our lead development vehicle and we believe we got 50 Outback locations there today and we believe over the next three to five years we can double that business that's kind of how we are thinking about it.
Michael Gallo - CL King: Okay. Great. And then final question, if I could just squeeze one in, any view at this point on table tops you are looking at or testing or obviously you have varying commentary on this from a lot of your peers, so just wondering if you had any thoughts on that? Thank you.
Liz Smith: Yes. Absolutely. So as you said, there is a ton of different tests going on in table top. And so consistent with our philosophy, we are doing a lot of research with our consumer and a lot of test in markets to find out what is the exact right use of in-store technology table-top tablets for our brands that provides true satisfaction to the customer. And so we have a number of difference tablet test going on in any of our different store tablets at the table, tablets for the server, the most important thing for this is to understand how and where it enhances the customer experience process. But also, understand the potential unintended consequences of having the technology in there. Right so, we are testing, we have a go slow to go fast, I would characterize our strategy has completely informed, walking closely. We intend to be a fast follower. But these things are really important to understand their long-term impact on the customer experience. So as always what you can expect from us is, is a lot of research, a lot of analytics and a very thoughtful decision on how and when we use them. And that's going to vary by the way by concept, right, because what might be an acceptable and good answer for Outback is not going to play in a fine dining environment. So we are on this, but as I said, when we do roll it out, it will be with our eyes wide open.
Michael Gallo - CL King: Very helpful commentary, and congratulations again on the continued category outperformance. Thanks.
Dave Deno: Thank you.
Operator: I now hand the conference back to Ms. Smith for closing remarks.
Liz Smith: We thank you guys all for joining us today. We appreciate the support and we look forward to updating you on our continued progress in our Q1 call in May. Take care. And thanks again.
Operator: Ladies and gentlemen, this now concludes the Bloomin' Brands fourth quarter 2013 results conference call. Thank you for your participation. You may now disconnect.